Operator: Good morning. And welcome to the Omega Healthcare Q1 2018 Earnings Call. All participants will be in listen-only mode [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions [Operator Instructions]. Please note this event is being recorded. I now would like to turn the conference over to Michele Reber. Ms. Reber, please go ahead.
Michele Reber: Thank you, and good morning. With me today are Omega’s CEO, Taylor Pickett; CFO, Bob Stephenson; COO, Dan Booth; Chief Corporate Development Officer, Steven Insoft; and SVP Operations, Jeff Marshall. Comments made during this conference call that are not historical facts may be forward-looking statements, such as statements regarding our financial projections, dividend policy, portfolio restructurings, rent payments, financial condition or prospects of our operators, contemplated acquisitions, transitions or dispositions and our business and portfolio outlook, generally. These forward-looking statements involve risks and uncertainties, which may cause actual results to differ materially. Please see our press releases and our filings with the Securities and Exchange Commission, including, without limitation, our most recent report on Form 10-K, which identifies specific factors that may cause actual results or events to differ materially from those described in forward-looking statements. During the call today, we will refer to some non-GAAP financial measures, such as FFO, adjusted FFO, FAD and EBITDA. Reconciliations of these non-GAAP measures to the most comparable measure under Generally Accepted Accounting Principles, as well as an explanation of the usefulness of the non-GAAP measures, are available under the Financial Information section of our Web site at www.omegahealthcare.com and in the case of FFO and adjusted FFO, in our press release issued yesterday. I will now turn the call over to Taylor.
Taylor Pickett: Thanks, Michele. Good morning. And thank you for joining our first quarter 2018 earnings conference call. Today, I will discuss our strategic asset repositioning and portfolio workouts, our dividend and 2018 guidance, macro industry trends and our data analysis effort. As part of our strategic positioning, in the first quarter of 2018, we disposed of $98 million in assets. And including assets held for sale, we’re evaluating over $250 million in additional asset sales in 2018. The revenue reduction related to our $98 million of first quarter assets disposed is $10 million, while the trailing 12 month cash flow in these assets is $4 million. The cash flow on these assets did not cover the underlying rent, yet we were able to achieve sale proceeds that equates to rent yields of approximately 10%. Our strong sales results today reflect the continued appetite for SNF assets by local market private buyers. We’ve made great progress addressing the operators; Orianna is in the middle of a controlled Chapter 11 Bankruptcy process; Signature is being resolved outside of bankruptcy; and Daybreak is paying current rent obligations timeline. Later in the call, Dan will provide more detail regarding portfolio workouts. Turning to our dividend and 2018 guidance. Our quarterly dividend of $0.66 per share reflects the payout ratio of 85% of adjusted FFO, and 96% of funds available for distribution. As we discussed during our February call, our dividend payout ratio and related FFO guidance will be dependent on the timing of assets sales versus the redeployment of capital along with the timing of Orianna portfolio workout. We have maintained our adjusted FFO guidance range of $2.96 to $3.06 per share, while our FAD guidance remains $2.64 to $2.74 per share. Again timing will play a big role in our guidance as asset sales reduce AFFO and the longer it takes to redeploy capital, the longer it takes to restore this AFFO in our quarterly run rate. Due to the impact of capital deployment timing, it is likely that our second quarter adjusted FFO and FAD results will dip from the first quarter results and then rebound in the back half of 2018. Moving to macro industry trends, I would like to highlight the following. First, we are already experiencing the impact of aging demographics with respect to Medicare days. These demographics are offsetting the impact of reduced rents to stay and the reduction of in-patient hospital admissions. We believe that the reduced length of stay efficiencies and reduced in-patient hospital admissions are slow. And as a result, the unabated growth in the over certified population will be reflected in stable and eventually improving industry occupancy. Second, labor costs continue to put near term pressure on operator cash flows and coverage. We expect that this trend will continue throughout 2018. Third, CMS’s proposal of making should be favorable over the next several years. Jeff will provide more detail, but we believe the proposed October 1st, Medicare rate increase and the new proposed patient driven payment model, are both positive for our operators. Fourth, Omega facility occupancy has remained steady during the first two months of 2018. Turning to our data analysis effort. During the quarter, we rolled out some initial information around our data analytics project, specifically around improving demographics, which we believe will provide our operators pronounced and pervasive sense of tailwind for many years. For over a year now, we’ve been working with a healthcare data partner to analyze a variety of factors around our business. We’re using the results of this analysis in our internal capital allocation decisions, as well as externally in our communication with investors. As investors know, all real estate is local and having granular regional information, provides us an opportunity to allocate capital optimally. So we can best benefit from the growing population of seniors. In the coming quarters, we will be providing additional information around our findings. We believe that this will provide additional clarity around the timing and extend the demographic tailwinds, allowing investors to allocate capital to the skilled nursing space with more conviction. I will now turn the call over to Bob.
Robert Stephenson: Thank you, Taylor and good morning. Our reportable FFO on a dilutive basis was $148 million or $0.71 per share for the quarter as compared to $181 million or $0.88 per share for the first quarter of 2017. Our adjusted FFO was $161 million or $0.78 per share for the quarter, and exclude the impact of approximately $7.8 million in provisions for uncollectable accounts, $2 million purchase option buy up, $581,000 related to unrealized gains on Genesis common stock and $4.1 million of non-cash stock-based compensation expense. Operating revenue for the quarter was approximately $220 million versus $232 million for the first quarter of 2017. The decrease was primarily a result of $16 million of reduced revenue as we’ve placed Orianna on a cash basis, effective July 1, 2017 and do not record any lease revenue in Q1 2018, and $4 million of reduced revenue related to Daybreak and Preferred Care that were also placed on a cash basis in 2017. The decrease in revenue was partially offset by incremental revenue from a combination of over $415 million of new investments completed, and capital improvements made to our facilities since the first quarter of 2017, as well as lease amendments made during that same time period. The $220 million of revenue for the quarter includes $17 million of non-cash revenue, $16 million of Signature revenue, $4.1 million of Daybreak revenue, $1.5 million of preferred care revenue and as I mentioned earlier, no revenue related to the Orianna lease facilities. Our G&A expense was $12.4 million for the quarter, which is $3.6 million above our first quarter 2017 G&A expense. The increase is primarily result of a $2 million buy up of an in-the-money purchase option and $1.5 million in increased legal expenses related to operator workouts and restructuring. When eliminating the $2 million purchase option buy up, our G&A expense was $10.4 million and in line with our 2018 first quarter projected G&A expense of approximately $9.5 million to $10.5 million. For modeling purposes, we project our 2018 second quarter G&A run rate to be approximately $9.5 million to $10.5 million, resulting from legal expenses related to operator workout, transitions and divestitures, before returning to traditional $8 million to $9 million quarterly run-rate sometime in the fourth quarter. In addition, we expect our 2018 quarterly non-cash stock based compensation expense to be approximately $4 million, consistent with the first quarter of 2018. Interest expense for the quarter, when excluding non-cash deferred financing cost, was $48 million versus $45 million for the same period in 2017. The $3 million increase in interest expense resulted from higher debt balances associated with the financing related to our investments completed since the first quarter of 2017 and a higher blending cost of debt primarily a result of issuing $700 million of new bonds in the second quarter of 2017 and in general, overall higher LIBOR rates. In the first quarter, we’ve sold 14 facilities for approximately $75 million in net cash proceeds, recognizing a gain of approximately $18 million. We also received $24 million for final payment on three mortgage notes. In the first quarter, we recorded slightly over $1.8 million in revenue related to these dispositions. During the quarter, we reported approximately $5 million in real estate impairments to reduce the net book value on 17 facilities to their estimate fair values or expected selling prices. We’ve recorded approximately $8 million in provisions of uncollectable accounts related to the write-off of straight line receivables, resulting from the transfer of 15 facilities to new operators within Omega’s portfolio. Dan will provide an update on Signature in his prepared remarks. In Q1, Signature paid approximately 75% of its monthly contractual rent. As a result, the receivable balance continued to grow. As of March 31st, we had approximately $25 million in contractual receivables outstanding, which is partially offset by $9.3 million letter of credit, as well as significant personal guarantees. Based on the resolution Dan will be discussing, we believe at this time Signature’s outstanding AR and future rental payments are collectible. And therefore, we will continue to report revenue on accrual basis of accounting. At March 31st, we had 33 facilities valued at approximately $143 million classified as assets held for sale, and we are evaluating over $125 million in potential asset disposition opportunities, which could occur over the next several quarters. Our balance sheet remains strong. For the three months ended March 31st, our net debt to annualized EBITDA was 5.49 times, and our fixed charge coverage ratio was 4.2 times. It’s important to note EBITDA in these calculations has no annual revenue related to Orianna and approximately one month of revenue related to Daybreak. When adjusting for the likely range of expected rental outcome for Orianna, including expected cash proceed from Daybreak in addition to where moving revenue related to our Q1 asset sale, our pro forma leverage would be roughly 5 times. I will now turn the call over to Jeff.
Jeff Marshall: Thanks, Bob and good morning, everyone. Since the February 9th Bipartisan Budget Act, which permanently repealed outpatient therapy caps, Congress has not engaged in any significant legislative activity impacting SNF. On the regulatory front, on April 27th, CMS issued its annual proposed SNF payment rule, which included three significant components; the annual of market basket Medicare rate increase, effective October 1, 2018; the commencement of the value base purchasing discount to those Medicare rates, effective the same date; and the announcement of the new Medicare patient driven payment model or PDPM effective October 1, 2019, to replace the current Web based system and the previously proposed resident classification system or RCS. Both the proposed rate increase and the proposed PDPM are subject to 60 day common period with a final rule expected by August 1. As part of the Bipartisan Budget Act, Congress fixed the October 1, 2018 SNF market basket rate increase at 2.4%, representing an increase of $850 million to the industry. Without this legislation, the rate increase would have been only 1.9% under the market basket methodology or about $180 million left. As such, this 2.4% rate increase is viewed as a significant positive development for SNF, especially considering the legislatively mandated increase of only 1% last October 1. Offsetting this rate increase is the value based purchasing, or VBP discount, that was initiated by the 2014 protecting access to Medicare act. The VBP program was design to incentivize SNF to reduce their rates of patient re-hospitalization to reduce overall Medicare costs. Effective October 1, 2018 and across the board, 2% rate decrease will be applied to the market basket inflated rates but each facility will realize a positive adjustment against that decrease based on its comparative performance on re-hospitalization metrics. CMS estimates an average net decrease of 0.6% in Medicare rates from this VBP program, representing $211 million cut to the industry. So the market basket rate increase, net of the VBP discount is expected to be 1.8%, representing an increase of $639 million in total, or about $45,000 per facility. In its effort to move away from the rug based therapy driven Medicare fee-for-service payment model, CMS announced, one year ago, its intent to pursue a payment system based on patient characteristics or conditions, called the RCS. Following an extended common period and analysis, CMS developed significant revisions to the proposed RCS and changed the name to PDPM with an effective date of October 1, 2019. Although, PDPM retains a per diem platform, the current payment scheme dependence on volume of treatments has been changed to a scheme that pays for patient conditions, and effectively shifts funding emphasis from therapy services to complex nursing services. PDPM is generally viewed as a positive development for the SNF industry as payments will be allocated based on treatment of all patient conditions, regulatory pressure against therapy driven payments should be eliminated and total payments to the industry will remain the same as under the current RUG system. In addition, a lengthy period for training and implementation prior to the October 1, 2019 transition date should maximize the industry’s effectiveness in adapting to the change in payment systems. Per diem rates for physical and occupational therapy under PDPM are expected to exceed or match current RUG payments for the first 20 days of the patients stay, and very gradually taper down thereafter, providing an incentive for SNFs to keep therapy length of stay at moderate level. SNFs will have the opportunity to improve margins by reducing any excessive therapy length of stay, serving a broader disease cohort of patients and realizing expense savings estimated by CMS at about $12,000 per facility from processing a significantly reduced number of MDS patient assessments. Also the ability to use cost effective group and concurrent therapy protocols for up to 25% of therapy treatments will yield additional cost savings. Finally, CMS is assisting providers with free software both to crosswalk their current RUG payment levels to PDPM payment levels and to submit new MDS patient diagnostic coding to CMS per payment. I will now turn the call over to Dan.
Daniel Booth: Thanks, Jeff and good morning everyone. As of March 31, 2018, Omega had an operating asset portfolio of 963 facilities with approximately 96,000 operating beds. These facilities were spread across 70 third party operators and located within 40 states in the United Kingdom. Trailing 12 month operator EBITDARM and EBITDARM coverage for our core portfolio was effectively flat during the fourth quarter of 2017 at 1.71 and 1.63 times respectively versus 1.72 and 1.35 times respectively for the trailing 12 month period ended September 30, 2017. Turning to portfolio matters, as noted on previous calls, Omega is currently in ongoing restructuring efforts with three of our larger operators, Orianna, Signature, and Preferred Care. As noted in Omega’s press release issued on March 7, 2018, Orianna, also known as Four West Holdings, voluntarily filed Chapter 11 in US Bankruptcy Court in Dallas, Texas. At that time, Omega entered into a Restructuring Support Agreement or RSA that will form the basis for Orianna’s restructuring. While subject to bankruptcy court approval, the RSA provides for the orderly transition to new operators of 23 of the 42 facilities Orianna currently leases from Omega. The RSA also provides for the sale of the remaining 19 facilities pursuant to a plan of reorganization to be confirmed by the bankruptcy court. The RSA contemplates that the planned confirmation will occur in 110 days, and that such sale will be concluded by the end of 2018. In addition to the RSA and in order to provide liquidity to Orianna during their Chapter 11 proceedings, Omega has provided a commitment for up to $30 million in debtor-in-possession financing. On day one of the bankruptcy, the debt facility was used to pay in full Orianna’s current working capital lender. Subject to bankruptcy court approval, the DIP facility will also be used to provide Orianna with additional liquidity to fund ongoing business operations. Omega remains confident that our post-transition restructuring rent or rent equivalent in the event of asset sales for the Orianna portfolio will be in our previously stated range of $32 million to $38 million. Moving on to Signature Healthcare. Omega is pleased to report that effective May 07, 2018, Omega and Signature entered into a restructuring agreement or RA. The RA has a number of material provisions, which include the following noteworthy changes to our current agreement. These provisions include the bifurcation of all Omega facilities into a separate lease silo, which separates virtually all legal obligations on a go forward basis, the deferment of up to $6.4 million of rent per annum for three years, the commitment by Omega to provide capital expenditure funds to be used for general maintenance and capital improvements of our 59 facilities in the amount of approximately $4.5 million per year for three years and a seven year working capital term loan at 7% for an amount up to $25 million. We believe these modifications, taken as a whole, will provide Signature with the necessary liquidity and cash flow to effectively manage ongoing operations, give management the ability to effectuate their business plan, and ensure continued investments in our physical plans. Simultaneously with the effectiveness of the RA, Signature has effectuated agreements with their other two primary landlords, which are similar in principle. Additionally, Signature has also closed on multiple new working capital loans, which bifurcate the loans by lease silo, provide additional liquidity and enhance flexibility, and replace its formal working capital lender. Finally, Signature has reached settlement agreements with the vast majority of its existing medical malpractice claimants. On a side note, Omega and Signature have enjoyed an excellent longstanding relationship dating back nearly 20 years. While this restructuring is certainly not optimal, it was successful in providing for an adequate resolution, while maintaining and incentivizing the existing and well respected management team. In addition to Orianna and Signature and as discussed on our previous call, one of our other non top 10 operators Preferred Care, a Texas based operator, filed for Chapter 11 bankruptcy and as a result of $28 million jury award in the State of Kentucky. While Omega has no exposure to Preferred Care in Kentucky, we currently lease 16 facilities to Preferred Care in New Mexico, Texas, Arizona, and Oklahoma. In November of 2017, Omega and Preferred Care entered into a transition agreement related to all 16 facilities. We have identified operators for each state and separate transition processes are currently underway. Historically, this portfolio has operated at less than 1 times EBITDAR coverage with trailing 12 months 12/31/17 results at close to zero coverage. It is currently expected that all 16 facilities will be re-leased to current Omega operators under longer term leases with enhanced credit profiles. These transitions remain subject to bankruptcy court approval and should realistically be completed by the fourth quarter of 2018. Turning to new investments. During the first quarter of 2018, Omega completed $30 million of new investments for four purchase lease transactions, including two UK care homes, one skilled nursing facility in Pennsylvania and one skilled nursing facility in Virginia. In addition, Omega provided $38 million in CapEx fundings. During the first quarter of 2018, Omega disposed off 14 facilities and three mortgages for approximately $98 million in net proceeds. Subsequently in the second quarter of 2018, Omega disposed off an additional seven facilities for approximately $20 million in net proceeds. The majority of these sales were driven by either poor historical operating performance, obsolete or poor physical plans, deteriorating market conditions and/or weak operator relationship, which Omega sought to exit. We are currently evaluating approximately 51 additional facilities to sell in the coming quarters. While we believe we have identified the majority of dispositions for the near future, Omega will continue to review our portfolio and discuss strategic repositioning with our operators. Based upon our pending dispositions, we believe dispositions will likely outpace acquisitions for most if not all of 2018. I will now turn the call over to Steven.
Steven Insoft: Thanks, Dan. And thanks to everyone in the line for joining today. In conjunction with Maplewood Senior Living, we continue to work on our plans 215,000 square foot ALF Memory Care High Rise at Second Avenue at 93rd Street in Manhattan. The project is expected to cost approximately $250 million, and is scheduled to open in the second half of 2019. In addition, in the first quarter of 2018, we bought out impart for $50 million the in the money purchase options on 13 of the 16 Maplewood senior living properties. In conjunction with the partial purchase option buyout, we extended the leases on all of the Maplewood properties in addition to pushing out and staggering the dates of the remainder of the purchase options. We structured the $15 million buyout investment in the manner to not only minimize the tax leakage to Maplewood and its principals, but also to maximize the amount of operator capital to fund future growth. Including the land and CPI of our New York City project at the end of the fourth quarter, Omega Senior Housing portfolio totaled $1.5 billion of investments in our balance sheet, anchored by our growing relationship with Maplewood senior living and their best-in- class properties, as well as healthcare homes and Gold Care in the United Kingdom. Our overall senior housing investment now comprises 127, assisted independent living in memory care assets in the U.S. and UK. On the standalone basis, this portfolio not only covers its lease obligations at 1.22 times, but also represents one of the larger senior housing portfolios amongst the publicly listed healthcare REITs. Our ability to successfully continue to grow this important component of our portfolio is highlighted by our 13 Maplewood facilities, and the related pipeline is predicated on coupling our tenants operating capabilities with our commitment to having in-house design and construction expertise. Through this same capability, we invested $38 million in the first quarter in new construction and strategic reinvestment. $19.5 million of this investment is predominantly related to 13 active new construction projects with a total budget of approximately $500 million inclusive of Manhattan. The remaining $18.5 million of this investment was related to our ongoing portfolio CapEx reinvestment program. This concludes our prepared comments. And we will now open the call for questions.
Operator: Thank you. We will now begin the question-and-answer session [Operator Instructions]. And this morning’s first question comes from Chad Vanacore with Stifel.
Chad Vanacore: So just touching on Signature restructuring plan details. Am I right that rent concessions are about 11% of what the prior rent was? And that seems better to me, especially considering that they’re willing to paying about 75% of contractual rents and leading up to this. So how does that compare with your expectations? And then how would you expect coverage to improve over time given the funding and CapEx involved?
Robert Stephenson: Chad, your numbers are right. It was about 11% discount it is better than improved over what they have been paying for last 12 months, which was more of 25% discount. And then the coverage up the gate is about 1.3 times and obviously if Signature meets its budgets on a go forward basis, we’d expect that to slowly go up over time.
Chad Vanacore: And was at 1.3 times, is that cash EBITDAR or what is that based on?
Robert Stephenson: That's after the deferred rent taking it into account the deferred rent, correct.
Chad Vanacore: And then also on Orianna, you mentioned receiving some rent in the first quarter and that was ahead of schedule, we weren’t picking anything to your fourth quarter. So does that in any way change your perceptions?
Taylor Pickett: Chad, that’s part of the restructuring support agreement. It’s a million dollar of rent a month but it's not being recorded in income, which being offset against the balance sheet item. But we're happy to have the cash and we're hoping to accelerate the process with Orianna. We'll know more this week. We have bankruptcy hearings towards the end of the week.
Chad Vanacore: Then you mentioned in your prepared remarks, occupancy seems pretty stable. Would you say that that would be -- when I think throughout your portfolio what you’re seeing or is that just on the top end of the portfolio?
Taylor Pickett: It's pretty consistent. We haven't seen occupancy moves in any particular geography. It's been fairly steady across the portfolio. And we feel great about that, because we know it’s an history. There's still some pressure on the occupancy side
Operator: And the next question comes from Juan Sanabria with Bank of America.
Unidentified Analyst: This is Kevin on for Juan. I just had a question on Preferred Care. On those communities, what is the coverage that the new operators will be -- I guess operating those assets at?
Taylor Pickett: So as Dan mentioned, that portfolio continues to struggle with very little cash flow on a consolidated basis, but each state is a little bit different. As an example, Arizona continues to perform well. So we’ll achieve a decent rent return there. As we’ve mentioned in the past, the current preferred care rants about $11 million, our expectation is we'll end up at $5 million to $7 million with the transition properties. The coverages on a nominal basis based on historic cash flow are very less, but each one of these assets is going to go into a bigger master lease relationship with the expectation of significantly improved cash flow where we think post-transition once the operator has stabilized, the assets we’ll be looking at 1.3 times plus. But today based on historical results, it's very less, essentially zero on a consolidated basis.
Unidentified Analyst: And then secondly on Maplewood, you paid out with $50 million on in the purchase options, if the buyout 13, that was 16. I guess what is the potential remaining amount that could be paid out as those purchase options hit?
Taylor Pickett: The in-money value of Maplewood’s purchase option based on the marketing effort we did is approximately $150 million. So we effectively thought out it would be equivalent of the third of their in-money value. That purchase option value does not include New York City project, a development in South Port Connecticut that just opened on Cape Cod for 13 to 16 projects.
Operator: Thank you. And the next question comes from Nick Yulico with UBS.
Nick Yulico: I just wanted to go back to Signature and make sure I understood a couple of things here. So you said that you were booking, I think you said you were booking 75 of the rent -- they paid 75% of the rent in the first quarter. And then did you actually then book 100% of the rent as GAAP revenue?
Robert Stephenson: We did. We book $16 million of revenue in the first quarter even though they paid 75% of that in cash.
Nick Yulico: And I guess why are you comfortable that -- I think you said there’s $15 receivable outstanding for them. Why are you comfortable that you're going to collect that since the ultimate rent here is going down, and on top of that you're also lending them, agreeing to lend them up to $25 million. So I mean how is that situation where that receivable is recoverable?
Taylor Pickett: As Bob mention, we look some of the credit support that exists, which includes nearly $10 million letter of credit, which is undrawn personal guarantees, which are very substantial. And argue that have one three coverage with the prospects for further improvement of that coverage from our perspective that they're going to put themselves in a position to be able to repay. Now it's going to take a period of time and we'll have to monitor their operating results as we go forward. But based on the credit support, their current coverage and the fact that they'll deal with the liabilities that otherwise would've been hanging in at balance sheet, we feel comfortable. So that's not to say we won't be monitoring Signature on a go forward basis. And our expectation is they'll continue to perform and we’ll continue to record. But that's something that we’ll look at every quarter.
Nick Yulico: But I guess I don’t quite understand this. I mean, your lending you’re agreeing to lend them $25 million, which helps them pay off their working capital lenders. How does that help you in terms of your ability to get the rent back?
Taylor Pickett: The lending against collateral fully collateralized lending that provides them with liquidity. It’s not being drawn day one but it gives them the flexibility to deal with liquidity issues, which is their problem. It's liquidity to pay the government, to pay the Med mal claims that have been settled and some other vendor issues that are part of the restructure. So the thing we didn't want to do is have them go off without enough liquidity to manage a very, very large enterprise.
Nick Yulico: And then how long are you able to under the accounting rules book 100% of the rent if you’re not collecting all the rents and of this judgment of whether or not you think you can collect back rent. How does that work from the current standpoint?
Taylor Pickett: We’ll monitor every quarter, Nick. But you’re getting into the real details of that and we’ll call you offline on that. But big Picture, every quarter we'll look at the future collectibility based on what Dan had already talked about their coverage but payer anticipate coverage. And again, we go through and look at the collectability of Signature in its entirety.
Nick Yulico: I guess I'm just trying to understand like what's the risk here of some future write-off to accounts receivable, some earnings charge related to Signature and as well as scenario of understand what’s working on a prepackaged bankruptcy solution. Is this totally avoid then going into bankruptcy, and If they were to go into bankruptcy, does that then trigger an issue with regards to accounting for revenue similar to how you have to shut off revenue at Orianna?
Daniel Booth: Well, this absolutely avoids in court restructuring, I mean that’s the whole purpose of this restructuring agreement to begin with. The whole thing was centered around restructures with not only just the two primary landlords but also with other constituents. There was a new working capital lender came in and took out the old working capital lender. There was an enormous amount of settlements with Med now claimants in a number of discussions with some of their vendors. So this took care of a whole host of different issues that Signature face. And we think at this point in time, yes, that takes care of any bankruptcy risk but on over Signature.
Taylor Pickett: And Nick the second part of your question, absolutely with any vendor if there's a bankruptcy that impacts what we can record, absolutely.
Nick Yulico: Just one last question, I mean if I look at your operating cash flow versus your FAD that you report, pretty big variance. Even if you add back the lease inducements in the first quarter with I guess there was with Maplewood, still looks like you're in your operating cash flow with $85 million, and your FAD was $144 million. So there's almost $60 million difference there. I mean what else is the difference there besides what's going on with Signature and a couple other operators? And how should we think about -- you talked about earlier, Taylor, that your -- I think you sad your FAD or FFO was going to be going down in the second quarter. How does your operating cash flow -- does it eventually approve, because right now it doesn't look like you're covering a dividend with operating cash flow instead looks like you've covered it by borrowing on the line of credit in the first quarter.
Daniel Booth: Let me start and then I’ll let Taylor jump in, Nick. So we had roughly $53 million of cash flow from operations but you add that $50 million that that once through that number on the Maplewood section and then we have about $22 million to $23 million of interest payment timing. January and July, we pay the majority of our senior unsecured note interest. So the other quarters, it's an accrual base. When you add those factors plus the $2 million our purchase and we pay down all these other timing related items, I think you get back to that 96% pay out.
Taylor Pickett: I mean the only comment I’d add is FAD when you do it on a per share basis, about $0.69 and that's a solid cash number. Bob can walk you through all the interest that you see to the cash flow but there's no accounting item in there, that's just timing lease inducement as Bob mentioned. And I think when we look at it -- again, it's all timing during the next sales versus redeployment of capital and timing of Orianna. And we know that Orianna is very valuable in terms of cash flow even at the low end of our projected range of rent or rent equivalents of $32 million that’s significant, that’s $0.04 a share per quarter, which provides a lot more cushion in our payout. So we’re comfortable with where we are. But we want to be clear that timing will affect us quarter-to-quarter. And that’s just part of what we have to go through this year as we reposition.
Nick Yulico: Just be clear though that $0.69 that you report on FAD is not totally a cash number, right, because it doesn’t include the fact that Signature hasn’t paid all their rent and you’re booking 100% of that as revenue, right?
Taylor Pickett: That is also not a cash flow measure as well, just to be clear.
Nick Yulico: I was just wanted to be clear on that. Thank you.
Operator: Thank you. And the next question is from Tayo Okusanya with Jeffries.
Tayo Okusanya: First of all, the increased provisioning expense in the quarter, the $7.8 million. Could you just talk a little bit about what that was whether that will lead to a particular tenant or all host of tenants?
Daniel Booth: We saw some properties that were transitioned and we get to write-off the straight line receivable.
Tayo Okusanya: And then second of all, in your -- during the quarter, when I think of this, I guess statement of cash there was some portion of your interest income that was paid in time. Could you just talk a little bit about that whether they’re getting payment in cash whether why you’re -- why is the interest income was hit?
Robert Stephenson: So it is approximately $1.9 million of paid in time and that’s related to the Genesis -- that was Genesis roll down, there were pieces of cash and that pieces paid in time.
Tayo Okusanya: And then Orianna again, I think there’s been some media reports out there about CMS challenging that bankruptcy and the restructuring. Could you just talk a little bit about what CMS is challenging there, the changes, how you about the resolution of that bankruptcy.
Taylor Pickett: Actually, Tayo, what CMS -- they’re not challenging the bankruptcy at all, so good question. What CMS is -- what they went to court for was the fact that at one point, there was a motion where the properties would be transitioned without, literally without CMS’s approval, which is unusual and all CMS is doing is protecting the government’s right to ensure that if there are any call back obligations with the government is picked. Since the objection that the government made, the motions were modified to make it clear that the government in fact has the right to look back and make sure that there are no obligations owed to the government. The expectation is if there are any, they are modest, there is nothing that anyone is aware off today. So it was a little bit of noise that was created procedurally that’s been resolved that we don’t pick that will impact this on a forward basis.
Tayo Okusanya: And you don’t think that changes the mind of any potential bidders for those assets?
Taylor Pickett: No, not at all. This is normal at any transition that we engage in, forget about bankruptcy, any transition that Dan is working through. We have to go to the government and make sure there are no obligations that need to be resolved. And frankly, those numbers typically are small. But procedural -- the government was absolutely correct, and we've corrected the motions to conform with their position.
Operator: Thank you. And the next question comes from Daniel Bernstein with Capital One.
Daniel Bernstein: I just want to go back over and make sure I understood with Signature. When you resetting the rent to 1.3 coverage, that’s 1.3 coverage immediately after the restructuring of the new, or is that at some sale wise point like 12, 24 months down the road? I just want to understand precisely what that service is going to be?
Robert Stephenson: That’s 3.31 actual results.
Daniel Bernstein: And is there some rent reset mechanism where you guys to get any of that deferred rent back or some -- if they meet certain hurdles, they start paying back some of that AR that's on the books?
Robert Stephenson: So they’re both. There is a recent reset in three years there's also a waterfall provision whereby we're entitled to a majority of the excess cash flow.
Daniel Bernstein: Is there I guess certain -- are there certain hurdle that you have to hit at 1.5 coverage or how does that hurdle work?
Robert Stephenson: No, there's certain things that are -- that have taken out that of reserved if you will. But no, it's not -- it’s a pure cash flow with certain reserves built in. And the first thing that really comes out in the excess cash flow waterfall is deferred rent.
Daniel Bernstein: What are the lease bumps that are there, if there are any? Just trying to understand -- how do they -- if some of the rent, if somebody going to get some of that rent back and then excess bumps, or do higher than normal bumps maybe put them at risk to become distressed again and just trying to understand the risk there?
Taylor Pickett: So we didn't change the escalators, they remained 2.5% and they continue on, on a go forward basis.
Daniel Bernstein: And then one of your peers is, should be well buying HCR and real estate along with side of hospital system. Have you -- what are your thoughts about hospital systems, managed care systems, owning operating assets. Have you approached any hospital systems to take over assets, have they purchased to you? Just it seems like it changes the dynamic -- certainly from the credit side, it's an improved credit if hospital system or managed care system is owning operating skilled nursing and assisted living versus the current operators?
Taylor Pickett: I think this is the first big entrée of a hospital system into the -- it’s the facility based business and we’ve seen them in hospice and home care, the nurse level delivery part of the system. It's interesting. Look, you're asking the right question in terms of monitoring where things head over the next decade, and we may see more of it. We pay attention to it. Our board is engaged in discussions about it. So we think it's interesting. It'll be interesting to see how it plays out.
Daniel Bernstein: You’re not sure it’s a trend yet, one-off not quarter trend yet?
Taylor Pickett: Sure, this question makes it…
Operator: Thank you. And as there are no questions at present time, I would like to return call to Taylor Pickett for any closing comments.
Taylor Pickett: Thank you everybody for joining our call today. Bob and the team will be available for any follow ups that you may have.